Operator: Hello, and welcome everyone to the Full-Year and Fourth Quarter Fiscal 2016 Earnings Call for Commercial Metals Company. Today's call is being recorded. And after the company's remarks, we will have a question-and-answer session and we'll have a few instructions at that time. I would like to remind all participants that during the course of this conference call, the company will make statements that provide information other than historical information, and will include expectations regarding economic conditions, effects of legislation, U.S. steel import levels, U.S. construction activity, demand for finished steel products, the effects of a relatively strong U.S. dollar, the company's future operations, the company's future results of operations, the commissioning of the company's planned new steel micro mill in Oklahoma and capital spending, these and other similar statements are considered forward-looking, and may involve speculation, and are subject to risks and uncertainties that could cause actual results to differ materially from these expectations. These statements reflect the company's beliefs based on current conditions, but are subject to certain risks and uncertainties, including those that are described in the Risk Factors section of the company's latest 10-K. Although these statements are based on management's current expectations and assumptions, CMC offers no assurance that events or facts will happen as expected. All statements are made only as of this date. Except as required by law, CMC does not assume any obligation to update these statements in connection with future events, changes in assumptions, the occurrence of anticipated or unanticipated events, new information or circumstances, or otherwise. Some numbers presented will be non-GAAP financial measures and reconciliations for such numbers can be found in the company's earnings release or on the company's website. Unless stated otherwise, all references made to year or quarter-end are references to the company's fiscal year or respective fiscal quarter end. And now, for opening remarks and introductions, I will turn the call over to the Chairman of the Board, President and Chief Executive Officer of Commercial Metals Company, Mr. Joe Alvarado.
Joseph Alvarado - Commercial Metals Co.: Good morning and welcome to everyone joining us to review CMC's results for the full year and fourth quarter of fiscal 2016. I will begin the call with highlights for the fiscal year and Mary Lindsey will then cover the year-end and quarter financial information in more detail. And I will conclude our prepared remarks with a discussion of our outlook for the first quarter of fiscal 2017, after which we will open the call to questions. As announced in our earnings release this morning, we reported fiscal year 2016 earnings from continuing operations of $72.5 million or $0.62 per diluted share on net sales of $4.6 billion. We also finished the fiscal year with cash and cash equivalents totaling $517.5 million. Also, as noted in our press release on October 25, I am pleased to report that the board of directors declared a quarterly cash dividend of $0.12 per share of CMC common stock for stockholders of record on November 9, 2016. The dividend will be paid on November 23, 2016. This represents CMC's 208th consecutive quarterly dividend. Turning to trends and conditions in the markets in which we operate. As of our year-end in August 2016, the U.S. non-residential and non-building construction markets were mixed year-over-year. Non-residential construction improved more than 4%, while non-building pulled back by 8%. These trends are in contrast to strong construction starts activity, which improved nearly 29% year-over-year. With respect to highway and infrastructure spending, recently passed legislation in December 2015, the bill known as Fixing America's Surface Transportation Act, or FAST, has yet to result in meaningful incremental volume for CMC. We are encouraged that this bill provides significant funding for infrastructure projects, and we anticipate seeing improvements tied to this legislation within the next 12 months. Despite good construction activity, margins have been negatively impacted by a glut of imported products, most particularly rebar. As we've discussed in prior calls, certain foreign producers continued to dump unfairly-traded steel in the United States. These producers are attracted to the U.S. market as a result of the strong U.S. dollar and relatively strong U.S. construction demand, in comparison to their home markets. We along with other rebar trade action coalition companies recently filed a trade case against Taiwan, Japan and Turkey. We will continue to work with the U.S. Government to use its trade authority to create a level-playing field for domestic producers against the surge of foreign steel. Global overcapacity continues to impact steel producers worldwide. We believe China's steel industry continues to exhibit behaviors that are harmful to global commodity flows, the most acute to CMC being the negative impact of excess global capacity on metals pricing. Many Chinese mills continued to operate inefficient and outdated capacity. These factors alone were a significant contributor to the pricing pressure for a number of major commodities on a global basis, which in turn place significant pressure on both the volume and margins in our International Marketing and Distribution segment during fiscal 2016. Scrap markets have remained quite difficult. We've seen additional pricing degradation for ferrous scrap in the early part of our fiscal 2017. Though there are reports that scrap pricing has bottomed out, we have continued to adjust our cost structures at our recycling facilities in response to tightening metal margins in this part of our operations. On a more positive note, the fourth quarter results reflect the value of the diversified assets that CMC has in its portfolio, with very strong performance coming from our Polish operations, which reported an adjusted operating profit that is the best fourth quarter in eight years. These operations will also essentially benefit from the recently completed and upgraded technology of the continuous caster and the melt shop. Our Americas Fabrication unit posted an eight-year high for adjusted operating profit. While we expect margins will continue to be pressured in our fiscal 2017, we are extremely pleased with the operating performance of this unit, in spite of the challenges framed by imported steel and domestic competition. Our downstream integration strategy is further strengthened by the execution announced yesterday of an agreement to acquire the assets of the steel fabrication business of Associated Steel Workers Limited, which operates in Hawaii. The construction of our previously announced new steel micro mill in Durant, Oklahoma is progressing well. We continue to target the fall of 2017 for commissioning and startup of this facility. Last, but not least, we remain committed to focusing on the matters that are within our control. The supply chain initiatives that we kicked off last summer have returned early dividends, along with many others under development. Our approach to both working capital and investment capital remains focused on optimum utilization, and we have remained diligent in reducing SG&A and other controllable costs throughout CMC. With that as an overview, I will now turn the discussion over to Mary Lindsey, Vice President and Chief Financial Officer. Mary?
Mary A. Lindsey - Commercial Metals Co.: Thank you, Joe, and good morning, everyone. As Joe mentioned, for the full year of fiscal 2016, we reported earnings from continuing operations of $72.5 million or $0.62 per diluted share, which compares to earnings from continuing operations of $99.1 million or $0.84 per diluted share for fiscal 2015. Results from continuing operations for 2016 included fourth quarter after-tax long-lived asset impairment charges of $24.3 million or $0.21 per diluted share, while fiscal year 2015 included after-tax goodwill impairment charges in the fourth quarter of $4.6 million or $0.04 per diluted share. For the fourth quarter of 2016, we reported earnings from continuing operations of $1 million or $0.01 per share. Included in continuing operations was the $24.3 million after-tax impairment charge I previously mentioned. Looking at our results by segment for the fourth quarter of fiscal 2016. Our Americas Recycling segment recorded adjusted operating loss of $45.1 million for the fourth quarter of 2016, compared to adjusted operating loss of $13.9 million for the fourth quarter of fiscal 2015. This loss was meaningfully increased by a pre-tax long-lived asset impairment charge of $38.9 million during the fourth quarter of fiscal 2016. In the fourth quarter of 2015, this segment recorded a pre-tax $7.3 million goodwill impairment charge. During the fourth quarter of 2016 versus the fourth quarter of 2015, ferrous metal margin decreased 5% and shipments increased 2%, while non-ferrous metal margin increased 11% and shipments decreased 6%. Our Americas Mills segment recorded adjusted operating profit of $45 million for the fourth quarter of 2016, compared to adjusted operating profit of $60.1 million for the fourth quarter of 2015. This decrease was driven by declines in both shipments and metal margin for the fourth quarter of 2016 versus 2015 of 4% and 15% respectively. Our International Marketing and Distribution segment recorded – excuse me. Our Americas Fabrication segment recorded adjusted operating profit of $9.6 million for the fourth quarter of 2016, compared to adjusted operating profit of $18.7 million in the prior-year quarter. For the fourth quarter of 2016, margin compression caused by selling prices declining faster than our material costs resulted in a 9% decrease in the average composite metal margin. Additionally, shipments in the fourth quarter of fiscal 2016 dropped 4% versus the fourth quarter of fiscal 2015. Our International Mill segment recorded adjusted operating profit of $18.7 million for the fourth quarter of 2016, an improvement of $12.3 million compared to the prior year's fourth quarter. The increase in adjusted operating profit in fourth quarter of fiscal 2016 compared to 2015 was driven by improvements in shipments of 4% and a 3% increase in average metal margin as well as improvement in conversion costs. Our International Marketing and Distribution segment recorded adjusted operating loss of $3.5 million for the fourth quarter of 2016, compared to adjusted operating loss of $14.3 million in the prior year's fourth quarter. The decrease in adjusted operating loss is due to an increase in shipments for our raw materials division in the U.S. and our steel trading divisions in Asia. Additionally, our steel trading divisions in the U.S. and Europe experienced increases in average margins, offset by declines in shipments due to continued global steel overcapacity and weak oil and gas tubular demand. Turning to our balance sheet and liquidity. As of August 31, 2016, cash and cash equivalents totaled $517.5 million and total liquidity was more than $1.1 billion. For the fiscal year ended 2016, we had cash flows from operating activates of $586.9 million, the highest since fiscal 2009. For fiscal 2016, capital expenditures were $163.3 million. We estimate that our capital spending for fiscal 2017 will be in the range of $250 million to $300 million, which includes costs related to the construction of the new Oklahoma micro mill. This concludes my remarks. Thank you very much. I'll now turn it back over to Joe for the outlook.
Joseph Alvarado - Commercial Metals Co.: Thank you, Mary. Our first quarter is typically a seasonally slower period, as the construction season begins to wind down before the onset of the winter months. From a market perspective, many of our U.S. businesses experienced margin compression throughout our 2016 fiscal fourth quarter. These pressures have continued into our 2017 fiscal first quarter. Therefore, we do not currently anticipate a material improvement in our financial results in the coming quarter. In summary, as we look back on fiscal 2016, our Americas Fabrication and International Mill segments had outstanding financial results, some of which were the best since the onset of global financial crisis, highlighting the value of the diversification of our portfolio. We also concluded one of our safest years on record based on OSHA recordable. We're proud of the commitments we make as a company and individuals to our customers, suppliers, shareholders, community and each other, and we look forward to continued success in fiscal 2017. Thank you. And at this time, we will now open the call to questions.
Operator: Thank you. We will now begin the question-and-answer session. The first question comes from Paul Luther with Bank of America Merrill Lynch. Please go ahead.
Paul Thomas Luther - Bank of America Merrill Lynch: Hi, guys. Thanks for taking my questions.
Joseph Alvarado - Commercial Metals Co.: Morning.
Mary A. Lindsey - Commercial Metals Co.: Good morning, PT.
Barbara R. Smith - Commercial Metals Co.: Good morning, PT.
Paul Thomas Luther - Bank of America Merrill Lynch: Morning, guys. I'm wondering if I could start with an update on import activity. Can you talk about recent trends you're seeing in terms of imports? And then, as a part of that, also could you talk about or provide some perspective, Joe, maybe on the rebar trade case that's been filed, right, in Turkey in particular because, right, I believe the government had revisited Turkish margins back in April? So I want to get your perspective, if you think there might be some sort of different outcome for this most recent trade case, particularly on Turkey?
Joseph Alvarado - Commercial Metals Co.: Sure. Happy to do that. I guess let's start with your question about imports. It's really relevant to maybe look at some of the data on a comparative basis. And we've done that looking at our fourth fiscal quarter, which is June, July and August of last year, compared to this year or this most recent year. Total imports in the prior-year period were 460,000 tons; and in the most current period, 725,000 tons. It's an increase of, well, about almost 57%. That contributed significantly to what we commented as being a glut. I guess, I could call it a deluge of imports that arrived. And inventories remained fairly high. But this is a pretty extraordinary surge in imports and part of what prompted the filing of the trade case. The majority of those imports, as you know, roughly 75% to 80%, come from Turkey. So there are some financial results along with the surge in imports that prompted us to file, but there have also been some changes in customs monitoring and calculations of what constitutes injury according to the new rules that were set a year ago in May by the Commerce Department. So, that's some of the incentives that we have as well as the financial results that we reported. And we clearly see a strain in our margins and it's clearly driven by import pricing that is easily over $100 a ton discount to what market prices are among domestic competitors in United States. So there are several reasons why we filed and we feel pretty strongly about it. At the same time, we can also see from some of the licensing data that imports from Taiwan and from Japan, licenses have cut back slightly. Imports from Turkey continued at a pretty high rate, but below the rate experienced in the summer.
Paul Thomas Luther - Bank of America Merrill Lynch: Cool Thanks for that, Joe. And then, for the follow-up, just wondering if I could get more color on what you're seeing in terms of recent demand trends. You mentioned on res in the comments. And then I'm wondering if you could give a sense of public, because we've heard from some of the building materials names talking about a slower-than-expected ramp of road construction I think out of, right, Texas DRT budget being lifted and, of course, the FAST Act which you mentioned as well. So I'm wondering if you could just comment a bit more on that.
Barbara R. Smith - Commercial Metals Co.: Yeah. PT, it's Barbara. I'll take a crack at it and certainly Joe can add additional commentary. Let me start with the construction side, which really impacts our rebar shipments. Most of the demand indicators are still fairly good. ABI, particularly in the regions where we operate, continues to be above that 50 level. And so we see good demand there. Clearly, there is maybe a slowing of the growth on the construction side or the non-residential side, but we still see plenty of quoting and plenty of opportunities to book business for construction-related projects, non-res. On the public side, public spending has been declining over the last number of quarters. And as Joe indicated in his opening remarks, we're really not seeing a pickup in demand related to the new FAST Act. And that's not particularly surprising when you go so many years with temporary extensions and states that don't have the confidence that the funding will be there for these infrastructure projects. And then when the bill was authorized, it takes time for the states to get organized, get their own funding in place, get the engineering done and all that's necessary to restart some of these very much needed infrastructure projects. So it's been a bit disappointing that we haven't seen any significant activity on the public side as a result of that new bill, but we do expect eventually for that money to make its way into steel orders, if you will. And our best view of that would be that sometime during our busy part of the year, next year, we'll begin to see the public spending pick up some. And that's before you factor in the upcoming election. And whatever the outcome, there has certainly been a lot of discussion on the need to not only do what's in the FAST bill, but also to increase the spending on infrastructure to really address the renewal of the very aging infrastructure in this country.
Paul Thomas Luther - Bank of America Merrill Lynch: Great. Thanks, Joe and Barbara. That's really helpful. Appreciate it.
Joseph Alvarado - Commercial Metals Co.: Thank you.
Barbara R. Smith - Commercial Metals Co.: Thank you, PT.
Operator: Our next question is from Curt Woodworth with Credit Suisse. Please go ahead.
Curt Woodworth - Credit Suisse Securities (USA) LLC (Broker): Hi. Good morning.
Joseph Alvarado - Commercial Metals Co.: Good morning, Curt.
Curt Woodworth - Credit Suisse Securities (USA) LLC (Broker): I just wanted to follow-up on the trade case that was filed in September. So, as I understand that with respect to Turkey, the new trade case is going to only apply to specific producers that are not subject to I think the existing case, which is still under administrative review. So can you just talk to the mechanics of that and how much of, say, this import exposure you think could be covered by the new case?
Barbara R. Smith - Commercial Metals Co.: So, Curt, actually these get very complicated, as you know. But all of the Turkish producers, I believe, are covered under this new case, which we were able to, through clear understanding of the law, to capture them. And so we're very pleased with that. But there is still, as you know, the existing order and the existing appeal which has been moving through the process, which under the existing order and the appeal there is additional release that is possible to be forthcoming. But this case will in essence re-review the situation, given the change in circumstances. And there's been very clear evidence not only in our business, but in our peers' that there has been significant harm to the industry with the significant increase in imports, particularly coming from Turkey prior year to this year, and then the resulting decline in prices and et cetera.
Joseph Alvarado - Commercial Metals Co.: And maybe just one other comment. The dumping is company-specific because there are existing dumping orders in place which Barbara referenced already on other producers.
Curt Woodworth - Credit Suisse Securities (USA) LLC (Broker): Okay.
Barbara R. Smith - Commercial Metals Co.: And one final note. The first important date is coming up, November 4, where we should hear what the preliminary ruling is.
Curt Woodworth - Credit Suisse Securities (USA) LLC (Broker): Okay. That's super helpful. Thanks. And then, just as a follow-up, just wanted to get what your expectations are or what you're seeing so far for November scrap. And just given the move we've seen in the coking coal market spot now above $250, would you expect, given Turkish scrap is going up, Chinese billets going up, that eventually the U.S. scrap price would follow? Or do you think the fact that demand is still relatively weak and, to your point, on winter that could potentially limit upside?
Joseph Alvarado - Commercial Metals Co.: So there are a couple of things to factor in here, Curt. Ore prices have begun creeping just a little bit, a little bit above $60 a ton over the last few days. There have been industry reports of expected increase in scrap pricing. And there is some parity over the long-term between iron ore pricing and scrap pricing. And certainly, the export market is putting some strain on the domestic market because of the more attractive prices that exist elsewhere. And quite frankly, flows have slowed, which is not unusual when prices fall. And so all of those would point towards increased scrap pricing. But, quite frankly, it's a little bit too early to know for sure. I'm just trying to give you some guidepost of what we look at and what we're monitoring, and we'll get into this first week of November.
Curt Woodworth - Credit Suisse Securities (USA) LLC (Broker): Okay. Thanks a lot.
Operator: The next question is from Seth Rosenfeld of Jefferies. Please go ahead.
Seth Rosenfeld - Jefferies International Ltd.: Good morning.
Joseph Alvarado - Commercial Metals Co.: Morning.
Seth Rosenfeld - Jefferies International Ltd.: I have two questions for now. First on the recent acquisition of ASW. I was wondering if you could give us a bit of color on the size of this transaction in terms of kind of the scale of volumes processed or incrementally how much that could increase your vertical integrations in downstream fab? And then separately, in the quarter, you seemed to have performed very well in conversion costs versus your own expectations. Can you just give us a bit of color on your current cost-cutting opportunities and what perhaps drove the beat in the last quarter there? Thank you.
Barbara R. Smith - Commercial Metals Co.: Thanks, Seth. I'll start and, again, if others want to add additional comments that I may miss. We're really excited about the ASW acquisition. We've been working with ASW from some period of time as a supplier on projects on the island. However, it is a rather small acquisition. We're talking about 25,000 tons of fabricated product. However, Hawaii is one of the strongest markets for growth in infrastructure and non-residential construction also has, given the challenges to get raw materials to the island, it has some of the highest fabricated rebar pricing. The other benefit to the ASW acquisition is we do source product to Hawaii from our Arizona Mill. And so this does secure a certain amount of tonnage to the Arizona micro mill. So we look forward to some interesting synergies as we conclude and close that transaction. The transaction won't close for another 60 days. In terms of the conversion cost side, this is really just part of our cultural norm, which is continuous improvement and continuous cost reduction. Having said that, we need to move into these more difficult market situations. We have to dig deeper, so to speak, or continue to – or maybe accelerate some of those actions. So we're working very hard, particularly on the overhead line. to find ways to reduce costs. If you strip out the one-time bond refinancing cost on the SG&A line, we did see a reduction year-over-year. We would anticipate to see our SG&A line continue to reduce over time, as we complete our continuous improvement activities. We're also very, very pleased with actions that occur in the cost of goods sold area. We have a new leader of supply chain, and his team is finding opportunities for leverage and cost reduction. We have a good portion of our CapEx outside of the Oklahoma micro mill goes towards projects that are very high-return projects that either improve throughput through our operations or their straight cost reduction. For example, we rebuilt the reheat furnace in the Texas mill this year. And with any refresh of a portion of the operation provides opportunity for increased throughput or energy savings. And we have those throughout the system. The capture project in Poland had a very strong startup. And as Mary mentioned, we will anticipate further cost reduction in our fiscal 2017 as a result of the new capture coming online. So, just a wide variety of initiatives across the enterprise to continue to be low-cost in this difficult global backdrop.
Seth Rosenfeld - Jefferies International Ltd.: Thank you. Of those cost savings, are there any of those that you are concerned would not be able to be retained if the market were to improve into next year? So, if scrap price started to improve and volume throughput started to improve with the FAST Act, et cetera, would you be able to retain all of this or are some of those kind of one-off savings or temporary savings?
Barbara R. Smith - Commercial Metals Co.: We're always looking for permanent improvements. Now certainly, alloys or other consumables, if commodity prices continue to improve, then there will certainly be pressure on those types of consumables for just inflationary pressures.
Seth Rosenfeld - Jefferies International Ltd.: Okay. Thank you very much.
Operator: The next question is from Alex Hacking of Citi. Please go ahead.
Alexander Hacking - Citigroup Global Markets, Inc. (Broker): Thank you. Good morning. My first question is...
Joseph Alvarado - Commercial Metals Co.: Morning.
Alexander Hacking - Citigroup Global Markets, Inc. (Broker): Hi. How are you? My first question is about Poland. Maybe you can give us an update on market conditions there in terms of demand, import pressure, prices? And then second question is just on the U.S. side, how does your fabrication backlog look if we compare it to the same time last year? Thanks.
Joseph Alvarado - Commercial Metals Co.: Well, let me take Poland and Barbara will talk about the fab backlog. As far as Poland is concerned then, we clearly are very pleased with the results that we recorded in Poland, this being one of the best years on record for them since the global financial crisis. There's a combination of efforts that have gone into that, starting with an electric arc furnace consolidation and rebuild. We put in a new furnace two years ago to align the operations in Poland to be a single furnace operation, in the same manner that we operate with all of our other mills. That was followed up this year by a renovation, a installation of brand new caster, which will make the Polish operation a single furnace, single caster operation, garnering further benefits. And all of this is with an eye towards improved efficiency in energy and consumption of consumables. So we're really pleased with that and that's helped us a great deal on our cost. On the market side, there was a trade case that was filed in March against Belarus, which had been quite disruptive. If you went back a couple years out, you'd see that we had issues with VAT circumvention from one of the neighboring states. And more recently, the Belarus facilities have been dumping product into the Polish market. And with the trade case that was filed in March, for which there'll be a final ruling in November timeframe – no, November?
Barbara R. Smith - Commercial Metals Co.: Yeah, November, we expect.
Joseph Alvarado - Commercial Metals Co.: November timeframe, we expect the final. The Belarus shipments or exports have cut back significantly. So you can see that there's been an appreciation in the volume that we've been processing as well as pricing and margin improvement. So the situation in Poland is one that we're encouraged by not only because of current circumstances, but the fact that funding from the European Union is solid and is aimed towards infrastructure, expansion, and improvement in the same way that we talk about FAST Act of funding in United States. And so we see a continued bright future with improved operating performance and less influence, if you will, of dumped product in the market assuming that the case is ruled as we expect it to be ruled. So, overall, the situation in Poland is strong. And aside from the winter months, we look to continue to improve performance in Poland. As for the backlog, Barbara can talk about that.
Barbara R. Smith - Commercial Metals Co.: Yeah. Alex, in terms of the fab backlog, I think the fab backlog is still strong and consistent with prior quarters and consistent with what we would see from a seasonal perspective. I will further comment that, on the fab backlog, we not only manage the tons, but we manage the margin. And we've been in this period of margin compression on the fab side and we are very cautious not to load up with a lot of tons in our backlog at extremely low prices. So we try to manage that very carefully. If scrap prices do move higher, which is the current expectation, then we would expect to see a bottoming in the rebar prices and potentially an improvement in rebar prices. So we try to manage the margin side of the fab backlog very carefully as well. But, as I said earlier, we still see steady demand in our various regional markets and our backlog remains consistent.
Alexander Hacking - Citigroup Global Markets, Inc. (Broker): Thank you. That's very helpful.
Operator: The next question comes from Phil Gibbs with KeyBanc Capital Markets. Please go ahead.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: Hi. Good morning.
Joseph Alvarado - Commercial Metals Co.: Good morning, Phil.
Barbara R. Smith - Commercial Metals Co.: Morning, Phil.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: I have another question on fab. Talked about a little bit of slippage in margins in your first fiscal quarter from your fourth fiscal quarter, and I think slipped a little bit more than we expected in the fourth quarter. Trying to just gauge, with all the volatility we've seen, what is more of a normalized level of unit profitability relative to call it this $30 a ton or $31 a ton that we saw in the fourth quarter?
Barbara R. Smith - Commercial Metals Co.: Yeah. Phil, maybe I'll take a crack at in, and certainly Joe and Mary can add color. If you look through the cycle, average fab EBITDA per ton, and we've studied this over a 10-year cycle, is in the $40 a ton to $50 a ton range. But the range from peak to trough in fab EBITDA per ton is much wider than if you did the same comparison for our mills. And that's the nature of the business. And we have been talking over the past three quarters or four quarters that eventually we were going to cycle through the high priced fab backlog, as rebar prices were free falling. And that as we cycled through and we got into, I will call it, more current priced fab backlog, there was going to be a commensurate squeeze in that fab margin. And as you also know, a fab backlog can consist of jobs that are booking and shipping within a month to jobs that are booking and shipping within two years or three years. So I think the good news is that the shipments were quite strong for the year and we remain encouraged in terms of demand for fabricated steel. But, as a result of the strong shipments, we cycled through that higher priced backlog pretty quickly and now we're into this period of time where we've seen a deluge of imports. And on the fab side, we're competing with imported bar price. And there is obviously the balance between walking away from the fab job or keeping that consistent flow back through our mill segment. And so we're always constantly making those decisions. Now, going forward, if prices turn and rebar prices begin to increase, then we'll be chasing – we'll be trying to rebuild the fab backlog at higher prices and that will have a compressing effect in the short term on the fab segment, but it should have a positive effect on the mill segment. So, in summary, I think, at least for the next two quarters, we're going to feel pretty pressured on the fab side and then it just remains to be seen where rebar prices go relative to fab backlog pricing.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: Okay. I know at certain points in time you've provided the mix within fab in terms of the private versus public side. Any color you could give us on that in terms of the composition?
Barbara R. Smith - Commercial Metals Co.: Well, it continues to be more heavily weighted to the private side, which tends to be better over the long run because pricing is stronger and sometimes it cycle through a bit quicker. That goes back to the comments I made earlier about, on the public, it's really been declining over the last couple of years and we haven't seen yet the impact of FAST. Hopefully, we will see a pickup in the public spending, as the FAST money starts getting displayed. But we still expect our fab backlog to be more heavily weighted to the private.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: Okay. And then last question I have here is just on some of the Texas maybe chemical processing projects, like the chemical plants and some of these cracker projects. And they're maintaining some resiliency right now, but may come off in the later years. Is that something that matters to Commercial Metals in terms of rebar consumption? And that's...
Barbara R. Smith - Commercial Metals Co.: Yeah. I think...
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: ...essentially what I'm asking. Yeah.
Barbara R. Smith - Commercial Metals Co.: So, of course, we're monitoring all these projects. In any large industrial expansion, there is foundations and there is steel-related products involved in those huge CapEx projects. The other effect is the employment that it brings and then the non-residential construction around communities and schools and housing developments, et cetera, that are needed to support those types of projects. And you're right, there's been a certain amount of resiliency. And companies that have made large commitments have remained committed to some of those projects. And no doubt, with the fall in energy prices that we've seen in this past couple of years, those projects I'm sure are being reevaluated and some will continue to go forward and some will potentially be delayed. And again, we're monitoring it, but overall we still see pretty strong construction demand in the near term.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: From those applications?
Barbara R. Smith - Commercial Metals Co.: Yeah.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: Okay.
Barbara R. Smith - Commercial Metals Co.: And there continues to be funding for wind farms. That's been a great business for us. There was re-upping of the funding for that. So you just kind of have to look at it on a total basis. But we never did expect the $60 billion of projects to all come to fruition that were on the drawing boards for the petrochemical space. But we'll continue to monitor.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: Thanks very much.
Barbara R. Smith - Commercial Metals Co.: Thanks, Phil.
Operator: Next question is from Aldo Mazzaferro with Macquarie. Please go ahead.
Aldo Mazzaferro - Macquarie Capital (USA), Inc.: Hi. Good morning.
Barbara R. Smith - Commercial Metals Co.: Good morning.
Joseph Alvarado - Commercial Metals Co.: Good morning, Aldo.
Mary A. Lindsey - Commercial Metals Co.: Hey, Aldo.
Aldo Mazzaferro - Macquarie Capital (USA), Inc.: Yeah. I just had two questions. A couple of mine have already been answered. But could you give us any of the details behind the asset impairment charge? Was it kind of across the board on goodwill on the assets or was there specific geographies and facilities that were targeted?
Mary A. Lindsey - Commercial Metals Co.: Hi, Aldo. This is Mary. I hope I can help you with that question. So it was in the Recycling segment, as we mentioned, and it was not a goodwill impairment. That segment doesn't have any goodwill left. It was actually a long-lived asset impairment. And we examine all of our long-lived assets every year and periodically, as necessary. And in this case, the particular assets that were most exposed were more recent shredder investments that, at this point in time, have a relatively high asset value. And in the challenging period that we've got associated with such low scrap prices and overall business disruption in the recycling area in general, those assets were pretty stressed. So they were partially impaired. And so it wasn't a geographic effect, it was more an effect of those particular recycling yards that had higher asset values that were difficult to support with the current business environment.
Aldo Mazzaferro - Macquarie Capital (USA), Inc.: Right. I get it. Okay. And second question, Joe, this is more kind of a big strategy question. But I'm wondering whether the makeup of the company where if scrap goes up, the mills get hurt; if the rebar goes up, the fab gets hurt. I've seen the company in the past work altogether and have margins consistently better, but that required almost a full global strong steel market and very, very high pricing. I'm just wondering, do you think it's the volatility in the market that is keeping your overall earnings compressed in a narrow range here? Or is it the structure of the company that needs to be addressed in terms of exiting some of these businesses that tend to drag you down just when some of the other assets seem to be hitting their stride?
Joseph Alvarado - Commercial Metals Co.: Yeah. Aldo, that's a great question. Thanks for asking. And we've really attacked the structure, if you will, pretty aggressively already in the sense that we've exited unprofitable businesses, whether they are fab shops or recycling yards, and made some critical decisions along those lines. And we did that in conjunction with our go-to market strategy, which is based on regionalization, wherein we have P&Ls that are managed by local management on a Central, Western and Eastern regional basis. We do the same thing in Poland. And the idea there is to optimize the flow of materials in our value chain. And our value chain includes securing low cost scrap and using the lowest cost scrap for our own operations, but at the same time being a third-party merchant. We only consume about half of what we procure and process. And on the other end of the mill is the fabrication, which gives us access to the market, gives us an insight to the market. The issue in the fab business, more than the volatility of ferrous pricing, is the volatility of the fab business and how jobs are quoted. In this case what we're fighting today is import product, but you're right, there is a tendency to swing. So, if you looked at the overall competitiveness of our operations and looked at the mills in particular, you'd see a very, very competitive mill that's fed by low-cost scrap and has access to end user markets without intermediaries because our fab business manages our customer relationships. So we think it's a model that works very efficiently for us. That doesn't mean that we don't move and prioritize or reallocate assets or investments in capital towards one business or the other. And we've done a little bit of that in all of our businesses. Barbara mentioned the reheat furnace in Seguin, the billet welder in South Carolina. We've also built a mega fab shop in Virginia, that's to our advantage. So we're doing everything we can to improve the efficiencies of the operations and to make the unit work smoothly. We've also exited businesses that don't make sense. So, in terms of re-deployment, we exited the distribution business this past year and, at the same time, made a critical decision to get out of M&D in the UK, and we're in the process of winding that down. So there are a lot of good things that have happened. And for us, we're really particularly optimistic about our business. Despite the difficult time that we're facing today, we're able to generate cash flow from operations. That's the best that we've seen since 2009. Even after tendering for $200 million in long-term bonds, we have cash at year-end of over $500 million. And the benefit of that is a reduction in the interest that we'll be paying from this day forward. On an annualized basis, that's about $14 million a year. So I think we're doing a good job of re-prioritizing where we deploy capital. We've done a good job of investing for efficiency and cost because that's what we can control. And we're optimistic about the market. Now, I say that with the full understanding that the winter months – the winter quarter isn't our best quarter, it never is, and historically we would expect the pattern to continue itself. But as the spring builds, we're optimistic that some of this pent-up demand, some of the issues related to the current political cycle will all be resolved and that some of that FAST money, if not FAST money plus, will start to strengthen demand for construction products in North America. So, that was a long-winded answer, Aldo, but you asked me about the strategy. So I wanted to make sure I covered it as best I could.
Aldo Mazzaferro - Macquarie Capital (USA), Inc.: No, I know. It's not an easy answer for sure. Hey, Joe, I just had one other question quickly. Given all the changes you've had in Poland and the good results. And I'm wondering what is the capacity of that mill now? What kind of a utilization rate are you at?
Barbara R. Smith - Commercial Metals Co.: Aldo, it's Barbara.
Aldo Mazzaferro - Macquarie Capital (USA), Inc.: Hey, Barbara.
Barbara R. Smith - Commercial Metals Co.: Good morning. How are you? Going back in time, we were a two-furnace, two-caster operation, and historically had indicated pretty high capacities in Poland that we frankly never achieved the utilization. Today, under the one-caster, one-furnace operation, we would rate that mill around 1.3 million tons. And we're running very full out in Poland in the current moment. And given some of the initial relief we're seeing with the filing of the Belarus case, and the overall growth in Poland, we would anticipate running at high utilization rate, certainly in the fiscal 2017 timeframe, absent normal seasonality. As you know, the winters are much more difficult in Poland.
Aldo Mazzaferro - Macquarie Capital (USA), Inc.: Great. All right. Thanks very much.
Joseph Alvarado - Commercial Metals Co.: Thank you, Aldo.
Operator: And the next question is from Nick Farwell with The Arbor Group. Please go ahead.
G. Nicholas Farwell - The Arbor Group: Joe, Barbara, good morning. I just want to add additional thought to Aldo's comments and that would you mind updating us on additional restructuring, if any, that you believe is appropriate relative to your sort of long-term strategic objectives? I'm not talking out a year or so, I'm really talking as you've been restructuring the company over the last three-plus years, within that context.
Joseph Alvarado - Commercial Metals Co.: Yeah. Well, so maybe – I think I did touch upon this in the sense that we're really aggressive in looking at our businesses and our objective is to exceed the weighted average cost of our capital, which is a never-ending battle in our business because we have some units that do well and a year later they struggle, and that's some of the volatility that Aldo had suggested. And so our mind is always towards earning that weighted average cost of capital to continue to not only create shareholder value, but to justify continued investment in the business. So any of the projects that we embark upon as we go forward are with that eye and mind, and that's what we've been doing all along. And that's what's led to some of the capital redeployment that you've seen in the company over the last year. That's what led to the capital investments and expenditures. That's what led to the decision to build the micro mill in Durant, Oklahoma, which we haven't talked about, but it's consistent with the strategy to be close to market, reduce our operating costs, highly efficient operations, which ultimately give us an advantage with our customers. Because underlying all this is the fact that we know that we have to differentiate ourselves in the eyes of our customers. And earning that respect and earning their business is a function of taking care of their needs and getting paid for the services we provide. So some of the value-add that's inherit in some of the decisions that we make to invest going forward is really critical. The ASW investment, for example, includes some placing services in Hawaii, which is something that we do on the West Coast, that we don't do really across the board. But it's a value-add component of what we do. So we're constantly evaluating and redeploying as best we can in a timely manner, without sacrificing the short-term for the long-term. Sometimes we get questions, for example, about redeploying assets, how you see example of Poland. We've said all along that we've invested heavily in Poland. We're getting our costs in line, the market would recover, and we're seeing that market recovery. And so, now it's time to earn that return that hasn't been at the levels that we had expected when we made the huge commitments to build the rolling mill there about seven years back, a rolling mill and a wire-rod mill, and followed up by the investments in the melt shop and the caster. So it's an ongoing process, Nick, and not something that we take lightly because we know it's the most important thing we do is deploying capital for our shareholders.
Mary A. Lindsey - Commercial Metals Co.: Nick, this is Mary. I would just make one other kind of general comment and that is that we're fortunate that we've got the strong balance sheet that we've got. And we've been very, very careful in the past several years to control the amount of working capital that's available in the businesses that we have in our portfolio that don't return as well as our steel manufacturing businesses, which is where we've seen very, very good returns on our capital. And we're committed to grow and we're committed to grow in those areas that are good returns for us. And that's why we made the decision to expand our capacity with the Oklahoma micro mill. And that's also because there were not other inorganic M&A opportunities available to us. But we continue to look for those and we're going to continue to grow in the business segments that provide the best returns. And we are committed to growth, so.
G. Nicholas Farwell - The Arbor Group: So, Joe, just very simplistically, are you – and I realize that this is a relatively mature business and highly cyclical, but are you 85% to 90% through restructuring the businesses you founded when you and Barbara joined the company? Just some rough idea of where you think you are in repositioning the business for your longer-term vision?
Joseph Alvarado - Commercial Metals Co.: Yeah. If I had gone back to six-and-a-half years from when we started on this journey and started changing some of the things that we've done, I think we've upset the applecart better than 40% already. So it's hard to say exactly. And I don't want to evade the answer, Nick, because we're evaluating all the time. And I wish I could share with you some of the examples of how we bring our team together to highlight some of the strengths and weaknesses of the company and where we've got improved. And that's how we get to decisions like exiting our distribution business in two lots incidentally. We exited a major portion of it over a year ago and then this past summer, finished the exit of a distribution business. But we remain active traders in Australia. But, likewise, decision to exit trading business in the UK was as a result of inability really to generate a return, much less return on capital but a pure return, because of falling commodity prices and just the much more difficult business environment. So we will redeploy that capital into other parts of our business where we can generate a return. So, without putting an absolute number on it, I think it evolves constantly and consistently, and we'll continue to do what we can to reshuffle the deck to optimize the assets that we have and where opportunities present themselves to add to those opportunities, even in some of the businesses that are more challenged because they can strengthen our performance overall.
G. Nicholas Farwell - The Arbor Group: One quick add-on to that, if I may, either Mary or Joe, and that is, if you were to at this point in time give us some sense of your priorities in redeploying capital between internal investment acquisitions like Hawaii and then perhaps enhancing the actual return to shareholders as you've done in the past, share repurchases or higher dividend, et cetera?
Joseph Alvarado - Commercial Metals Co.: Yeah. So, I guess, I would start with the dividend and we have 208 quarters of paying dividends to our shareholders and it's a fair, I think a pretty reasonable return on investment, a yield of over 3%, and unfortunately going up sometimes when we don't want it to, but it is a good return. Secondly is, we reduced our long-term debt with an eye towards improving our capital structure. As I mentioned, there is a benefit of about $14 million a year unless the interest expense that's related to that. We have additional long-term debt that will mature in 2017 end of July. And so we're evaluating all of our options for that. We continue to invest in the business and investing in the business from the capital sense. The Durant facility without a doubt is the most significant investment. But there are other parallel smaller investments that are really critical to improving our cost structure. And so, in an aggregate sense, we're moving on all fronts. And I didn't mention share buyback because we do have an authorization to spend $100 million. We've spent $72 million under that program to-date. And if that's the best alternative for us to create shareholder value, we'll do that. But as Mary has already indicated, we're really focused on the investments that will allow us to grow the most successful parts of our portfolio and hence the decision to proceed with the Durant facility, because it really does hit at the heart of our strength, not only from the operating perspective, but from the return perspective.
Operator: Thank you. Our next question will come – it's Phil Gibbs once again with KeyBanc Capital Markets. Please go ahead.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: Thanks, back in action, I guess. I had a couple...
Joseph Alvarado - Commercial Metals Co.: Hey, Philip.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: Hey. A couple of follow-ups, mostly housekeeping. Mary, what's the tax rate that you're anticipating for next year, one. And then, two, how much of this call it midpoint of CapEx guidance of $275 million is related to Durant?
Mary A. Lindsey - Commercial Metals Co.: Yeah. So the tax rate for next year we're estimating to be in the high 20%s, so let's say 28%. And the capital spending that we're guiding to, the $250 million to $300 million, about $166 million is dedicated for Oklahoma.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: Okay. And so the rest is what ongoing maintenance basically in line with G&A?
Mary A. Lindsey - Commercial Metals Co.: Yes. Normal maintenance and there are some smaller strategic projects that are – as Barbara mentioned, there are always – our engineering staff come up with a lot of very great ideas to improve the productivity in the mills. And so there are those types of investments as well. We're finishing up the – but the others are maintenance type things. For example, we have a bag house that's being replaced in Alabama, relatively expensive projects, but the mix of regular maintenance and projects intended to payback by improving productivity.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: Thanks a lot. Appreciate it.
Mary A. Lindsey - Commercial Metals Co.: Thank you, Phil.
Operator: At this time, there appear to be no further questions. Mr. Alvarado, I'll turn the call back to you for closing remarks.
Joseph Alvarado - Commercial Metals Co.: Okay. Well, thank you very much and thank you to everyone that joined us on the call today. I already commented we're really optimistic yet about the future and working hard to improving our performance and create wealth for our shareholders. But we know that this coming quarter will be a challenging quarter, the winter quarter always is. Thank you for your time. We look forward to meeting with you and answering more questions that you might have in the coming days as we conduct some of our investor visits. So, thank you very much for your time and attention.
Operator: Thank you, sir. This concludes today's Commercial Metals Company conference call. You may now disconnect.